Operator: Good day, everyone. And welcome to the Third Quarter 2024 Crescent Capital BDC, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, you’ll have the opportunity to ask questions during the question-and-answer session. [Operator Instructions] Please note, today’s call will be recorded and we will be standing by if you should need any assistance. It is now my pleasure to turn today’s conference over to Dan McMahon.
Dan McMahon: Good morning. And welcome to Crescent Capital BDC, Inc.’s third quarter ended September 30, 2024 earnings conference call. Please note that Crescent Capital BDC may be referred to as CCAP, Crescent BDC or the company throughout the call. Before we begin, I’ll start with some important reminders. Comments made over the course of this conference call and webcast may contain forward-looking statements and are subject to risks and uncertainties. The company’s actual results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in its SEC filings. The company assumes no obligation to update any such forward-looking statements. Please also note that past performance or market information is not a guarantee of future results. This morning, before the market opened, the company issued its earnings press release for the third quarter ended September 30, 2024, and posted a presentation to the IR section of its website at www.crescentbdc.com. The presentation should be reviewed in conjunction with the company’s Form 10-Q filed this morning with the SEC. As a reminder, this call is being recorded for replay purposes. Speaking on today’s call will be CCAP’s Chief Executive Officer, Jason Breaux; President, Henry Chung; and Chief Financial Officer, Gerhard Lombard. With that, I’d now like to turn it over to Jason.
Jason Breaux: Thank you, Dan. Hello, everyone, and thank you all for joining us today. I’ll start today’s call by highlighting our third quarter results. Follow that with some thoughts on our investment approach and touch on our portfolio. This morning, we reported another quarter of solid earnings with continued strong credit performance across the portfolio. Net investment income or NII was $0.64 per share, which translates into an annualized NII return on equity of 12.6%. With our earnings again well in excess of the regular dividend, our Board has declared a supplemental dividend for the second quarter of $0.07 per share. When coupled with our previously declared regular dividend of $0.42 per share, this equates to an approximately 10% annualized dividend yield on September 30, 2024 NAV. Our net asset value decreased $0.10 to $20.20 per share in the quarter, driven primarily by net unrealized marks running through the portfolio. Gerhard will touch on this in more detail. On a year-over-year basis, our NAV per share is up 2.5%. Let’s shift gears and discuss the investment portfolio. Please turn to Slides 13 and 14 of the presentation, which highlight certain characteristics of our portfolio. We ended the quarter with approximately $1.6 billion of investments at fair value across a highly diversified portfolio of 183 companies, with an average investment size of approximately 0.5% of the total portfolio. We have deliberately maintained an investment portfolio that consists primarily of first-lien loans, collectively representing 90% of the portfolio at fair value at quarter end, unchanged from the prior quarter. We continue to focus our investing efforts on non-cyclical industries and remain well-diversified across 20 broad industry categorizations. Our investments are almost entirely supported by well-capitalized private equity sponsors, with 99% of our debt portfolio in sponsor-backed companies at the quarter end. We have been pleased with the fundamental performance of our portfolio, as indicated by our stable performance ratings and non-accrual levels. Our weighted average portfolio grade of 2.1 remains stable quarter over quarter, and on slide 17, you will see that the percentage of risk-rated 1 and 2 investments, the highest ratings our portfolio companies can receive, accounted for 90% of the portfolio at fair value, up modestly from 89% in the prior quarter. As we’ve seen credit dispersion begin to emerge, with certain peers experiencing growing levels of watch lists and non-accrual names, we continue to believe that our tenure in the direct lending space, robust investment process, and focus on the core and lower middle market will continue to drive strong credit performance for CCAP. We continue to lead the majority of our transactions, drive stringent documentation and maintain our underwriting focus on strong cash flow generating companies. All of this has led to a portfolio today that has non-accruals well below the industry average. As a quarter end, we had investments in five portfolio companies on non-accrual status, representing 1.7% and 0.9% of our total debt investments at cost and fair value, respectively. I’d now like to turn the call over to Henry to discuss the market, our Q3 investment activity and the portfolio. Henry?
Henry Chung: Thanks, Jason. Deal activity continued to pick up in the third quarter, driven by a combination of lower borrowing costs due to spread compression, rate cuts and a strong economy. Most of the activity continued to be driven by refinancings and recapitalizations, which represented almost 50% of overall volume. While we expect fourth quarter deal activity to be relatively steady with Q3, we are anticipating that LBO volumes and overall deal flow will pick up in 2025 as recent and future rate cuts lower borrowing costs, which should continue to increase the momentum in LBO activity that we have seen in recent quarters. In addition, the market reaction to the results from the presidential election suggests optimism around increased deal activity, aided in part by the prospect of less regulation. As we have discussed before, we continue to believe direct lending remains the market of choice for our sponsors in the lower and core middle-market, given the benefits of our expertise, including speed, certainty of execution, and flexibility and the ability to serve as a true partner in developing bespoke capital structures. Please turn to Slide 15, where we highlight our recent activity. Gross deployment in the third quarter totaled $73 million, as you can see on the left-hand side of the page, 97% of which was in first-lien investments. During the quarter, we closed six new platform investments, totaling $33 million. These new investments were loans to private equity-backed companies with a weighted average spread of approximately 500 basis points. We continue to back well-capitalized borrowers with significant equity cushions and the weighted average loan-to-value of our new investments for the quarter was 32%. The remaining $40 million came from incremental investments in our existing portfolio companies. These have been a strong source of capital deployed on a year-to-day basis compared to prior periods, as we have continued to see higher levels of opportunistic refinancing and accretive M&A add-on opportunities within our existing borrower universe. The $73 million in gross deployment compares to approximately $92 million in aggregate exits, sales and repayments, resulting in net realizations of approximately $20 million for the quarter. On the realization front, it is also worth noting that in the fourth quarter, we have opportunistically realized an additional eight acquired First Eagle names for total proceeds of approximately $42 million at a modest premium to our cost basis. Inclusive of these names, we have now rotated 46% of our cost basis in the acquired First Eagle BDC. Turning back to the broader portfolio, please flip to Slide 16. You can see that the weighted average yield of our income-producing securities at cost came down modestly quarter-over-quarter to 11.6%, primarily due to a reduction in base rates and partially driven by a reduction in the weighted average spread with the realization of certain higher-yielding assets. As a reminder, this metric, represented by the dark blue line at the top of the chart, includes the impact of income-producing equity investments. As of September 30th, 97% of our debt investments at fair value were floating rate with a weighted average floor of 80 basis points, which compares to our 66% floating rate liability structure based on debt drawn with no floors. Overall, our investment portfolio continues to perform well with year-over-year weighted average revenue and EBITDA growth. With that being said, even with the recent interest rate cuts, we have continued to monitor the impact of borrowing costs on our portfolio companies. The weighted average interest coverage of the companies in our investment portfolio at quarter end improved 1.8 times, as compared to 1.7 times for the prior two quarters. As a reminder, this calculation is based on the latest annualized base rates each quarter. All else being equal, we expect that interest coverage will continue to improve with further rate cuts. We also continue to closely monitor how our portfolio companies are managing fixed operating costs. Our analysis demonstrates that our portfolio companies in the aggregate are well-positioned to address fixed charges with operating cash flows and available balance sheet liquidity. As expected, we saw another quarter-over-quarter decrease in aggregate revolver utilization with approximately 66% of aggregate revolver capacity available across the portfolio at the quarter end, up from 57% in the prior quarter. It is worth noting that we have continued to see an increase in repricing given tightening spreads. We approach repricing as a re-underwriting exercise where we evaluate if the portfolio company has demonstrated meaningful improvement in credit worthiness since underwrite through growth and deleveraging and that the proposed repricing presents an attractive relative value to new origination opportunities that we are seeing today. Our portfolio continues to benefit from the substantial amount of equity invested in our companies, most of it supplied by large and well-established private equity firms with whom we have longstanding relationships and have partnered with in multiple transactions. And we know that the weighted average loan-to-value in the portfolio at time of underwrite is approximately 40%. With that, I will now turn it over to Gerhard.
Gerhard Lombard: Thanks, Henry, and hello, everyone. Our net investment income per share of $0.64 for the third quarter of 2024, compares to $0.59 per share for both the prior quarter and third quarter of 2023. Total investment income of $51.6 million for the third quarter, compares to $49.0 million for the prior quarter, a 5% increase. The primary driver of this increase relates to what we classify as non-recurring investment income, which consists of accelerated amortization, fee income and common stock dividends. Non-recurring income increased from $1.8 million to $3.3 million quarter-over-quarter. Accelerated prepayment income and accelerated OID from refinancing activity during Q3 driving the lion’s share of this uptake. As I’ve noted in the past, while we expect some level of non-recurring or transactional investment income each quarter, this quarter’s total was meaningfully higher than recent quarters. Importantly, our recurring yield-related investment income increased slightly quarter-over-quarter from $47.1 million to $47.3 million and continues to represent the overwhelming majority of total investment income, contributing 92% of this quarter’s total. I’d like to spend a moment on PIK income this quarter. In looking at our income statement, you’ll see that PIK as a percentage of total investment income increased to 8.2%, as compared to 4.3% in Q2. Of the 3.9% increase, it’s important to note that approximately three-fourths or 3%, is due to positive one-time credit events. We recognize back PIK on two names that had previously been a non-accrual and have recently demonstrated strong financial performance. So what we view as more recurring PIK for the quarter was closer to approximately 5%, which continues to compare favorably to the sector. Our GAAP earnings per share or net income for the third quarter of 2024 was $0.41 per share. This was primarily the result of net investment income outpacing the regular and supplemental dividends offset by $0.22 per share of net unrealized and realized losses. As of September 30th, our stockholder’s equity was $749 million, resulting in net asset value per share of $20.20. Now let’s shift to our capitalization and liquidity. I’m on Slide 19. This quarter’s net realizations brought our debt-to-equity ratio down from 1.18 times in the prior quarter to 1.15 times, which is below the midpoint of our stated target leverage range of 1.1 times to 1.3 times. With $317 million of undrawn capacity subject to leverage, borrowing base and other restrictions, and $38 million in cash and cash equivalents as of quarter end, we have sufficient liquidity to fund further investment activity while maintaining a debt-to-equity ratio inside our target range. The weighted average stated interest rate on our total borrowing was 6.59% as of quarter end, down from 6.91% in the prior quarter due to base rate. And as we’ve highlighted on the right-hand side of the slide, there are no debt maturities until 2026. We are evaluating strategies to extend maturity dates in our debt capital stack in a measured manner over the next 12 months to 18 months, while still taking advantage of the attractive low fixed rates on our unsecured notes. While we don’t have any specific announcements related to our outstanding debt, we remain confident in our ability to continue to capitalize CCAP with a combination of secured and unsecured debt that will appropriately balance flexibility and the cost of capital. As Jason noted, for the fourth quarter of 2024, our Board has declared a regular dividend of $0.42 per share, which we believe we are well positioned to cover over the longer term. We’ve also announced a third quarter variable supplemental dividend, which was capped at $0.07 per share given the measurement test calculation. And with that, I’d like to turn it back to Jason for closing remarks.
Jason Breaux: Thank you, Gerhard. In closing, we are pleased with this quarter’s financial results and the performance of our investment portfolio. We’ve continued to maintain a defensively positioned portfolio that delivers a stable NAV profile with consistent dividend coverage. As we look forward over the remainder of 2024 and into 2025, we remain confident in the continued strong performance of CCAP’s portfolio and believe we are on track to continue to deliver attractive risk-adjusted returns to our stockholders. And with that, Operator, we can please open the line for questions.
Operator: [Operator Instructions] And we’ll take our first question from Robert Dodd with Raymond James. Please go ahead. Your line is open.
Robert Dodd: Hi, guys, and congrats on the quarter. I appreciate -- Gerhard, I appreciate you going through the line item from the unusual part. So I think that if I can kind of nail that down, I’d appreciate it. You said the unusual prepaid income and et cetera, about $3.3 million, maybe a $1.5 million high versus what’s kind of semi-regular in that form. And then the back PIK seems like that was another $1.5 million that obviously won’t recur. So, is that ballpark is about $3 million of non-recurring income this quarter that shouldn’t be kind of factored in going forward with the wildcard and who knows what prepays are actually going to do?
Gerhard Lombard: Hi, Robert. This is Gerhard. Thanks for the question. And you’re right, we kind of partially commented on the prepared remarks, maybe to expand on that a little bit. I think the backdrop here is that we delevered during the quarter from 1.18 times to 1.15 times. So there was a kind of a natural increase in prepayment and accelerated OID, which we generally view as non-recurring fee type income. And then you’re absolutely correct. There was some non-recurring PIK income, which we view as a positive, particularly on two names that we had on non-accrual and so we’ve been recognizing some of the back PIK related to that. The only other thing I would say is that there’s certainly going to be, in our recurring income on those PIK names, I think there will be a slight uptick in the recurring element, if that makes sense. So I’m probably a little bit lower than the three million you put out, but I think directionally, your comments are reasonable.
Robert Dodd: Right. Yeah. So they’re back on accrual. So the PIK coupon on those will continue and that was just a catch up, right? So, okay, I’ll figure that out. But I appreciate that, the color there. So thank you. On the First Eagle assets, right? So now you retained another four, I think you said, in the fourth quarter and you’re now at 46% of that cost basis is now gone. I mean, should we expect the remaining half? I mean, is that like three-year process? I mean, can you give us any color on how fast you expect the rest of that portfolio to be rotated or is it just going to happen on the same basis, the core CCAP originated portfolio as well, because obviously that shows as well?
Henry Chung: Robert, it’s Henry. I can comment on that. So with respect to the outlook for the remaining First Eagle assets, what I would say is that, since we closed the acquisition last year, it’s actually been quite an anemic M&A environment. So what we haven’t seen as much in that portfolio is what I would term natural run-off, which is vis-à-vis refinancings and sales of the respective portfolio companies. I think just given some of the change in the market backdrop post the election and just some of the broader commentary we’ve been hearing for the larger part of this year around uptick in M&A activity, our expectation is that that will likely accelerate as the sponsors for those companies seek to monetize the assets or seek to monetize those investments. We just haven’t been able to see that as much since we closed this in March 2023, given the broader M&A backdrop. So I think it’s tough to give you definitive timing here, but I would expect that the pace is going to be a bit quicker than what we’ve seen at least over the last year and a half.
Robert Dodd: I appreciate that. That kind of leads into my last question. Obviously you took them in the open in March. 2025 is expected to be more active. I mean, given the bar for 2024 and 2023 is basically laying on the floor, so it’s not hard to get over that bar. How active are you expecting 2025? I mean, one of your larger competitor this morning basically said, hey, we’re going to see 2021 levels of activity. I mean, is that optimistic, because obviously that would be a very large acceleration from the activity levels we’ve seen over the last couple of years?
Jason Breaux: Hey, Robert. It’s Jason. Thanks for the question. I…
Robert Dodd: Hi.
Jason Breaux: I don’t know if we would be able to necessarily calibrate relative to 2021 what we expect for 2025. Some similar dynamic where you had a challenging year prior in terms of activity and so there was certainly some pent-up demand from 2020 rolling into 2021. I think we’re seeing that here as well, just given the higher rate environment that we’ve been in for the past couple of years. So I do think there’s optimism around a significant pickup in activity. I think the election results provide incremental tailwind for that and optimism for that. We continue to see sort of sluggish returns of capital back to LPs and significant dry powder waiting on the sidelines. So I would say we’re very constructive on 2025 and the opportunity for deployment, and I do think you didn’t necessarily ask this, but I do think that that also helps with some of the dynamics that we’ve seen this year around pricing and spread compression. We’ve certainly seen spread compression most acute in the upper middle market, as opposed to the lower and core where we generally operate. But it’s been tighter across the Board, and I do think with a little bit of a correction on supply demand, that should work in our favor in terms of spread stabilization.
Henry Chung: I think to add to that, one dynamic or two dynamics of 2021 that are different than today. First is we don’t have zero percent base rates. And secondly, 2021 was a record year for private equity fundraising as well. Whereas 20 -- the latter half of 2023 and 2024 were much more muted, just given slower monetizations across PE as a whole. So those are certainly two counterweights when we think about the outlook. We certainly do expect quite a bit more activity than we’ve seen over the last 18 months to 24 months. But I do think in many ways, too, 2021 was a bit of a special confluence of factors that drove that level of activity, but we’ll see.
Jason Breaux: And I’ll just add one more thing to that. I agree with everything Henry said. I would just say that on the fundraising side of things, while it has been certainly more challenging in certain segments of the market, you -- we have absolutely observed significant capital being raised in the wealth channel in the form of non-traded BDCs primarily. Those commitments are coming in on a monthly basis, fully funded with significant pressure to deploy capital as a result of those monthly subscriptions. So, yes, fundraising, certainly not a record year on the institutional side, but there is pressure in the upper mid-market to put capital to work, particularly from the tailwinds from wealth.
Robert Dodd: I appreciate all that extra comment. Thank you, guys.
Operator: [Operator Instructions] We’ll take our next question from Paul Johnson with KBW. Please go ahead. Your line is open.
Paul Johnson: Hey. Good afternoon. Thanks for taking my questions. You guys have completed two, I would say pretty successful acquisitions in the BDC space since going public. I would just kind of ask, wat are -- is there goals for potentially more acquisitions in the future, or you guys have, I guess, other priorities, things that you’d like to accomplish first over this next year? I mean, how do you, I guess, balance that with what could be a very active year, albeit potentially lower spreads, lower return environment? Just curious if those opportunities are out there, if that’s still something you consider or if there’s other things you’d like to accomplish first?
Jason Breaux: Thanks, Paul. It’s Jason. Appreciate the question. We think a lot about how to grow our platform at Crescent and how to grow our BDC platform. We historically operated Crescent and CCAP in a way, I think, that proves out measured growth. We would certainly like to continue to grow CCAP and would explore a variety of paths to doing that, certainly open to the prospect of additional M&A, open to the prospect of more organic growth as well. But that’s -- I think, we’ve always looked at our business in a way where we want to make sure that we are doing right by our investors and not growing for the sake of growth. That’s the case for our BDCs. That’s the case for our institutional product. So, as we think about Crescent today, $40-plus billion of AUM, $30-plus billion of private credit AUM, the CCAP platform benefits significantly from being a part of Crescent where CCAP, on average, I think historically, has probably invested at about 10% of average total Crescent check size on a historical basis. So that really allows us to be well diversified in our portfolio and mitigate risk through that diversification while still staying relevant to our sponsor and portfolio company clients by being able to speak for size across the book -- across the platform. So, again, we would love to continue to grow CCAP. We would certainly look at additional M&A opportunities. I think, in fact, we view ourselves as fiduciaries and would have to look at future opportunities. Those don’t always come all that regularly, but we’ll look at them. But importantly, we don’t need to grow for the sake of growth and we certainly benefit by being attached to the larger Crescent platform.
Paul Johnson: Appreciate that. Thanks for that. And could you just tell us the depreciation this quarter? Looks like a bigger part of it was driven kind of from the controlled investments this quarter and the markdowns -- the unrealized markdowns. Can you just tell us where that’s coming from? Is that related to any of the legacy merger assets?
Gerhard Lombard: Hey, Paul. It’s Gerhard. I can take that and if you want to do a deeper dive on the credits, let us know. But I think there were primarily four names that I think kind of drove most of the unrealized loss in the portfolio. I think, would you correct, a portion of that came from a controlled investment in the Logan JV, which, as you know, is a levered investment, and so there’s just more kind of rate sensitivity there that impacts the mark on that equity position. And then there were three other names on our non-accrual list, largely, I think, two of them were non-accrual assets, and the other one was a markdown quarter-over-quarter. So it was really four individual names that drove kind of the unrealized you’re seeing this quarter.
Paul Johnson: Thanks for that. And last one for me, can you explain, so the supplemental dividend $0.07 this quarter down a little bit from the prior quarter. What exactly was the mechanism that caps the supplemental dividend at $0.07 for next quarter?
Gerhard Lombard: Yeah. This is Gerhard. I can take that as well. There’s a cap that limits the reduction in NAV as a function of both the supplemental and unrealized changes in marks to no greater than $0.15 as measured over a two-quarter period. So essentially, the combination of the unrealized change in fair value and the supplemental cannot exceed $0.15. And so the supplemental as a result is capped at $0.07 this quarter. Otherwise, purely based on the NII overrun, it would be a higher number.
Paul Johnson: Got it. Very helpful. Thanks for the answers. That’s all for me.
Jason Breaux: Thanks, Paul.
Operator: [Operator Instructions] There are no further questions in queue at this time. I will turn the program to our speakers for any additional or closing remarks.
Jason Breaux: Thank you, Operator. Thank you all for joining us here today for our Q3 earnings call. We appreciate your time and your support of CCAP and we look forward to speaking with you all soon.
Operator: This does conclude today’s program. Thank you for your participation and you may now disconnect.